Operator: Good morning, and thank you for standing by. Welcome to the Dorman Products Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note that this conference is being recorded. I would now like to turn the conference over to Alex Whitelam, Vice President of Investor Relations. Sir, please go ahead.
Alex Whitelam: Thank you. Good morning, everyone. Welcome to Dorman's Fourth Quarter 2024 Earnings Conference Call. I'm joined by Kevin Olsen, Dorman's Chief Executive Officer; and David Hession, Dorman's Chief Financial Officer. Kevin will share updates on the business, and David will review the quarterly results and our guidance for 2025. Kevin will then close our prepared remarks before opening the call for questions. By now, everyone should have access to our earnings release and earnings call presentation, which are available on the Investor Relations portion of our website at dormanproducts.com. Before we begin, I'd like to remind everyone that our prepared remarks, earnings release, and investor presentation include forward-looking statements within the meaning of federal securities laws. We advise listeners to review the risk factors and cautionary statements in our most recent 10-Q, 10-K, and earnings release for important material assumptions, expectations, and factors that may cause actual results to differ materially from those anticipated and described in such forward-looking statements. We'll also reference certain non-GAAP measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are contained in the schedules attached to our earnings release and in the appendix to this earnings call presentation, both of which can be found on the Investor Relations section of Dorman's website. Finally, during the Q&A portion of today's call, we ask that participants limit themselves to one question with one follow-up and to rejoin the queue if they have additional questions. And with that, I'll turn the call over to Kevin.
Kevin Olsen: Thanks, Alex. Good morning, and thank you for joining our Fourth Quarter 2024 Earnings Call. As Alex mentioned, I'll start out with a high-level review of the results. I'll also cover the keys to our success and our strategic focus areas for 2025. Along with observations within each of our segments. With that, let me begin on Slide 3 with a few highlights from the year. Our financial performance in 2024 was outstanding. We surpassed the $2 billion of annual sales mark for the first time in our history, growing net sales by 4.1% year-over-year. This net sales growth was driven by strong demand in our light-duty segment which benefited from recently introduced new products. While market pressures weighed on the results of our other segments, specialty vehicle drove slight growth after a positive sales inflection late in the year, and heavy-duty invested in improving customer experience and new product development, which positions them well for when the market rebounds. We also drove significant margin expansion in earnings growth for the enterprise, which led to strong cash flow generation. This allowed us to invest in the business, strengthen our balance sheet for future strategic growth opportunities, and return capital to our shareholders. I'd like to take a minute and thank all of our contributors for all they did this year. We have an exceptionally talented team that's stepped up and turned challenges into successes. I'm proud of what we've accomplished together and look forward to the exciting future we have ahead. Speaking of talent, I also want to welcome Tayfun Uner to our leadership team as Head of our Light Duty segment. Tayfun brings tremendous experience to the organization and his new role completes our transition to three distinct segments. With leadership structures in place now for each of them, it was an important step following our recent realignment of the business and we expect this leadership structure will drive significant value for the entire company. Turning to slide four, I wanted to briefly touch on the fourth quarter. David will provide more detail, but we exited 2024 with strong momentum. Consolidated net sales for the quarter grew 8% year-over-year to $534 million as our teams did an excellent job delivering on new product development and customer programs. We also drove solid margin performance. Adjusted operating margin for the quarter was 17.5%, expanding 210 basis points, compared to the same period last year. Our margin improvement was led by light duty as their top-line growth and productivity initiatives fueled a 350 basis point increase in segment profit margin. As a result, adjusted diluted EPS increased an impressive 40% to $2.20. Free cash flow in the quarter was also strong at $63 million, allowing us to repay $54 million of debt. All in all, it was an outstanding fourth quarter. We cap an incredible year for Dorman. I'm proud of our performance this year. And again, it speaks to our talent and positive culture that continues to drive results across the organization. David will cover guidance in a moment, but our outlook for 2025 reflects our strong operational model, strategic growth opportunities, financial strength, and positive market trends. On slide five, we thought it would be helpful to take a step back and highlight the key factors that drive Dorman's success. First, as we've covered on recent calls, innovation is a critical part of our DNA and core to our differentiation. Our teams have the creativity, tools, and expertise to deliver new vehicle repair solutions to our customers. Our innovation also enhances the repair experience for installers, which creates additional sales opportunities for our customers and drives the introduction of new cost-effective products for our end users' vehicles. Next is operational excellence. We're constantly challenging our operations to deliver improved performance and have invested prudently to keep our performance at the forefront of the curve. We're of the mindset that improvement and efficiency gains are always possible and we continue to drive productivity across our footprint. With efficient operations and new products driving growth, our asset-light business has been a cash generator providing both fuels for our growth and a strong financial foundation that is built for long-term success. Our strong financial profile and cash generation has allowed us to deploy capital on strategic investments to compound our growth. This proven business model has driven tremendous results for Dorman over the years. We believe we are well-positioned to deliver continued growth in 2025 and beyond. As we look ahead, slide six lays out our strategic priorities for the year. Again, innovation is a critical focus area for each of our segments. We continue to develop new light-duty repair solutions including an emphasis on our complex electronics portfolio, which continues gaining traction as we discussed on our last call. We're also focused on further expanding heavy-duty category coverage, deploying our OE fixed solutions methodology further into the sector. We believe the investments we've made in new product development position the business well as the freight recession recovers. Within specialty vehicle, we remain focused on expanding our non-discretionary portfolio and building on the success we've had in those categories since we've acquired Super ATV. We're also focused on furthering our operational excellence initiatives through productivity and automation improvements. We are pleased with the progress we made in 2024 on these initiatives and we see future opportunities across our facilities. In 2025, we'll continue to strategically diversify and optimize our supply chain. The team has done an outstanding job over the last few years, integrating suppliers across the globe and reducing our country-specific concentration. Today, our supply chain is significantly more flexible and nimble than it was just a few years ago. We believe this provides a differentiated added value for our customers and provides us access to leading manufacturers around the world. We're also laser-focused on continuing to position heavy duty and specialty vehicle for channel expansion which we believe will lead to improved sales performance as these markets rebound. As I mentioned, our innovation strategy and commercialization efforts are expanding opportunities. Finally, after strengthening our balance sheet in 2024, we have the firepower to capitalize on new growth opportunities. Our acquisition pipeline remains robust and we expect the broader M&A environment to continue improving. Moving to slide seven, let me provide some observations across our three segments. In our Light Duty segment, positive macro trends continued through the end of the year. Vehicle miles traveled were again higher year-over-year in the fourth quarter. POS was strong up high single digits and generally consistent with customer shipments. Strong customer demand and new product execution drove outperformance for light duty business. We've also made strides in diversifying our supplier base across new geographies and improving margin through productivity initiatives. In our heavy duty segment, soft market conditions persisted through the end of the year as expected. While recent industry commentary has pointed to a more optimistic outlook, we believe it is still too early to call for the timing of a return to growth. That said, we're seeing encouraging signs from our customers and look to capture share with a broader portfolio of new products when the market rebounds. Further, we plan to implement additional productivity initiatives to help improve heavy duty's margin profile. During the quarter, we saw year-over-year top-line growth for the first time in several quarters for our specialty vehicles segment. While new machine sales remained sluggish as manufacturers continued inventory destocking efforts, our growth was a result of the investments we've made in innovation and channel expansion. These investments are yielding solid results and we're excited with what lies ahead for the business. With that, I'll hand off to David to review our Q4 financial performance.
David Hession: Thanks, Kevin. I'd like to echo your comments regarding the team. It was a particularly strong finish to what ended up being an outstanding year and we couldn't have done it without the efforts of our contributors across the organization. So I just wanted to thank our contributors for their hard work and dedication. Turning to slide eight, let me dive into our results. Consolidated net sales in the fourth quarter were $534 million, up 8% year-over-year, driven by strong customer demand. As Kevin mentioned, light duty drove above market sales growth in the quarter given positive macro trends in our new product initiatives. In fact, innovation was a key contributor to our success across each of our segments in the quarter. I'll cover them individually in just a moment. Adjusted gross margin for the quarter was 41.7%, a 240 basis point increase compared to the prior year period. This margin expansion was primarily driven by higher sales performance and cost savings generated from our supplier diversification efforts as well as our productivity and automation initiatives. Additionally, margin benefited from a favorable mix of higher sales of new products and greater leverage on volume growth. Adjusted SG&A expense as a percentage of net sales was 24.2%, adjusted operating income was $93 million for the fourth quarter, up 23% compared to the same period last year. Adjusted operating margin expanded 210 basis points to 17.5%, largely from gross margin improvement. Finally, fourth quarter adjusted diluted EPS was $2.20, up 40% compared to the prior year period. Along with increased adjusted operating income and lower interest expense, our effective tax rate benefited from one time discrete items in the quarter. Finally, our share repurchase program activity during the year contributed to positive EPS growth. Next, let me provide updates on each of our business segments, starting with Light Duty on slide nine. Our light duty business had an exceptional fourth quarter with net sales increasing 11% compared to the same period last year. POS and shipments were generally aligned in the quarter at a high single digit growth rate. This growth was driven by strong customer demand, particularly with our recently introduced new products, including complex electronics and our highly successful oil filter housing product. Light duty also drove solid margin improvement during the quarter. Segment profit margin increased to 20.1%, a 350 basis point increase compared to last year's fourth quarter. This margin expansion benefited from our ongoing automation and productivity initiatives, strong new product sales and customer mix along with greater leverage on our volume. On slide 10, I'll cover our heavy duty segment. Heavy duty net sales were down 8% year-over-year as a result of the ongoing market challenges, which Kevin covered. Lower volume had a negative impact on margins as the business has a larger fixed cost manufacturing footprint compared to our other segments. We also continue to invest in the business as we see long term growth opportunities ahead. These investments yielded significant new product development during the year, which we expect will position the business well when the market rebounds. Moving to slide 11 for our Specialty Vehicles segment. We were pleased to see year-over-year sales growth for our Specialty Vehicle business as net sales were up 5% in the quarter. Our new product portfolio and expanded dealer network continue to drive solid results for the business. On the margin front, we continue to invest in the business, which increased variable compensation and benefit expense in the quarter compared to the prior year period. These increases align the Specialty Vehicles segment with our other two segments. We believe the investments we've made position the segment for long term growth. Turning to our cash flow on slide 12. For the fourth quarter, free cash flow was $63 million, up 30% compared to the same period in 2023. This growth was particularly impressive given that we increased our inventory spend in part to mitigate any potential impact from tariff changes. We also use this cash flow to strengthen our balance sheet, repaying $54 million in debt, which as I'll highlight on the next slide, provides us with the ability to make strategic growth investments. While we paused our share repurchases during the fourth quarter, given the uncertainty around the election and geopolitical concerns, we remain committed to our share repurchase program as a core component of our capital deployment strategy going forward. In fact, in October, our Board of Directors authorized a new $500 million stock repurchase plan that became effective January 1 of this year and expires in December 2027. This performance in the fourth quarter contributed to what was an exceptionally strong year from a cash generation and deployment perspective. Cash flow from operations was an impressive $231 million for the year allowing us to deploy $39 million in capital expenditures, we paid $94 million in debt and returned $78 million to our shareholders through the repurchase of 856,000 shares at an average cost of $91 per share. On slide 13, I'll cover our balance sheet and liquidity. As of December 31st, our net debt was $426 million or $66 million lower than Q3. Our net leverage ratio was 1.12 times adjusted EBITDA, down from 1.36 times at the end of September and 1.87 times at the end of last year. Our current leverage remains comfortably below our long term target of 2 times. Additionally, our total liquidity was $642 million at the end of the quarter, up from $582 million at the end of Q3. Our balance sheet remains strong, and we're pleased with the capacity and flexibility it provides us to continue executing our strategic plan and deploying capital for future growth investments. Turning to slide 14, I'd like to cover our guidance for 2025. 2024 positioned us well for continued growth through 2025 and beyond. Market trends in our late duty business remain positive and we see the beginnings of market turnaround in the heavy duty and specialty vehicle segments. While uncertainty exists around interest rates, tariffs, and other macroeconomic factors, we have the playbook, a more diversified customer and supplier base, and a solid financial position to navigate the various challenges we may face in the market. Specifically on tariffs, our 2025 guidance does not include any impact from the U.S. tariffs enacted or proposed in 2025 or any potential retaliatory measures from U.S. trade partners. The situation remains highly fluid with significant uncertainty regarding what may or may not be implemented and the potential impact on our 2025 results. We are following the evolving trade situation closely and plan to take actions to manage the impact on our business. We'll evaluate updating our guidance as the tariff situation gains clarity. That said, we expect net sales growth to be in the range of 3% to 5%, compared to 2024. Looking across our segments, we expect light duty to drive solid sales growth for the year. Our innovation strategy and industry leading portfolio of new products along with our enhanced commercialization strategies are expected to continue driving value for our customers. As I mentioned, predicting a market recovery for heavy duty remains difficult. But given market indicators, we expect net sales to be flattish for the year. For Specialty Vehicle, we expect net sales to increase modestly as consumer sentiment appears to be improving in that market. On the operational excellence front, we remain focused on driving efficiencies through continued productivity and automation initiatives. With our sales growth expectations coupled with the efficiency gains, we expect adjusted diluted earnings per share to be in the range of $7.55 to $7.85, representing 6% to 10% growth over 2024. Now, I'll turn it back over to Kevin to conclude. Kevin?
Kevin Olsen: Thanks, David. As we look forward, I'm confident in our model for long term success. We'll continue driving innovation and building on our industry leading portfolio of innovative solutions. We'll continue to build deep relationships across our diverse end markets leverage our operational expertise and capitalize on strategic growth opportunities to drive Dorman's future growth. On behalf of our management team and the Board, we thank you for your support. With that, I would now like to open the call up for questions. Operator?
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Scott Stember from ROTH MKM. Sir, please go ahead.
Scott Stember: Good morning, and thanks for taking my questions.
Kevin Olsen: Thanks, Scott.
David Hession: Good morning, Scott.
Scott Stember: Regarding tariffs, which is obviously one of the bigger topics these days, could you just remind us how far you've come, at least with exposure related to China? I know that I think we were less than 50% total Asia exposure, and maybe as of last year. Could you talk about where we stand right now? And then under the current 10% the tariff on China, I'm just trying to get a sense of how manageable that is for you in the near-term.
Kevin Olsen: Sure. Scott, it's Kevin. Good question. As you point out, the situation remains very fluid. I mean I think we've obviously seen the additional 10% on China imports in the steel and aluminum tariff. We would characterize those two aspects of tariffs is very manageable for us at this point. But obviously, the situation is very fluid. And it seems like the reciprocal tariffs, we'll know a lot more about those in the months ahead. I will speak a little bit about the diversity actions that we've taken and that I've spoken about publicly before, we -- I will remind you that we have a lot of experience dealing with tariffs. We have a playbook back in 2018, since that time frame, we have undertaken a lot of actions to diversify the supply chain. In 2025, Scott, we estimate that roughly 30% or so of our purchases will come from the U.S. Whether that's from a partner manufacturer or from dormant manufacturing facilities. Roughly 30% to 40% of our sourcing in 2025 is estimated to come from China. And then outside of that, we're very diverse around the globe. I'll also say, Scott, that our exposure to Canada and Mexico from a sourcing perspective is immaterial.
David Hession: Scott, it's David. The other thing to keep in mind is from a -- we're on FIFO accounting, right? So you'll see the impacts as inventory turns probably about 2 times, so you'll see that six months after we actually incurred as well.
Scott Stember: Got it. That's very helpful. Thanks. And then on the heavy duty side, can you talk about some of the early signs that you're seeing and then maybe talk about the channel expansion opportunities there?
Kevin Olsen: Sure, Scott. Good question. It's Kevin again. I would say, in general, if we look at the heavy duty market, our business is basically tracking with the market. We'll characterize it as somewhat stabilized. As we said in our prepared remarks, we're not really calling for a market turnaround in 2025. And it really is unclear how the trade situation will impact the overall heavy duty market. So our focus in that sector is going to be to continue on focusing on new products. We had a record year in terms of new product launches in 2024. We expect to increase on that in 2025. So the new product engine is really working well. We've got to get that flywheel primed and going and eventually that's going to become a very large growth engine for us, particularly as the market does recover. We're also focused on productivity initiatives across the business in heavy duty. And as we mentioned in the prepared remarks, we're expecting flattish sales growth for that segment in 2025.
Scott Stember: Got it. And then just last question. You talked about the pipeline for M&A. Could you maybe just give us an indication of where you're seeing more opportunities than where we could look for you guys to potentially go?
Kevin Olsen: Well, I mean, yes, Scott, it's Kevin. Good question. The pipeline, I would say, is very robust really across the three segments. But I will say that in the last couple of months, it's gone a little bit quiet with all the trade uncertainty. I think once that clears up, we'll start to see some good activity across our funnels.
Scott Stember: Got it. That's all I have for now. Thank you.
Kevin Olsen: Thanks, Scott.
David Hession: Thanks, Scott.
Operator: Thank you. Our next question comes from the line of Gary Prestopino from Barrington Research. Please go ahead.
Gary Prestopino: Hey, good morning, all.
Kevin Olsen: Good morning, Gary.
David Hession: Good morning, Gary.
Gary Prestopino: Kevin, I just -- I have a question just on the whole heavy duty market. I mean, I understand that it's a choppy environment out there and all, but are most of your products going into this market for repair and is there just a real big diminishment of on the road trucking going on here or are truckers just putting off repairs? I'm just trying to get an understand of what is driving this market to perform as poorly as it has.
Kevin Olsen: Yes, it's a great question, Gary. And I think you're exactly right. I think the overall market is down. We're seeing that across all the freight indexes that we look at. And our parts, as you correctly point out, do primarily go for repair, and we are seeing delayed repairs across the channels that we operate in.
Gary Prestopino: Okay. So I guess just from my understanding on this, is there if the truck is not drivable, they've got to repair it, but is there some kind of delayed maintenance kind of repairs that are needed that they're just putting that off?
Alex Whitelam: Yes. And that happens quite often in this industry, Gary. And I think what you'll see is when the market does start to inflect, you'll start to see a lot of those delayed repairs start coming back online. So we're -- when that inflection happens, we expect a pretty robust ramp back up.
Gary Prestopino: And could you remind me in a normalized market for both Specialty and heavy-duty or just however you want to phrase it, what would be the target operating margins that you could attain or segment margins for both of these?
David Hession: Yes, Gary, the margins -- yes, it's David. That's a good question. No, it's okay. We don't give guidance on forward guidance, Gary, on segment margins. But we think that as we look forward, what's included in the guide is margin performance pretty consistent with where we are in 2024.
Kevin Olsen: Yes. It's Kevin. Let me add to that. I mean, the reason that we're not forecasting in the guide a big increase in 2025 is obviously we're not forecasting the growth. In normal environments, you're talking about high teens type margins in specialty vehicle. And although we're currently performing well below that in heavy duty, our target there is to get to mid-teens operating margin.
Gary Prestopino: Okay. Yes, that's what my question revolved around just in a normalized market. So there's plenty of upside once these markets do turn-in the affirmative?
David Hession: Absolutely correct.
Gary Prestopino: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Justin Ages from SJS Securities. Sir, please go ahead.
Justin Ages: Hi, good morning, all.
Kevin Olsen: Good morning.
Justin Ages: Going back to -- there was a question on the M&A pipeline, but given the strength in balance sheet and strong free cash flow, can you give us a little indication on capital allocation priorities between share buybacks and M&A and debt paydown?
David Hession: Yes, Justin, good question. It's David. Yes, the -- we had a strong year from a cash flow perspective. If you look at our strategy, first area that we look at is debt and where we stand on debt and leverage. And then our latter takes over from there. First area we look at is internal investment. We get our best growth there, best returns, M&A is second and then third is returning cash to shareholders and we do that opportunistically. We paused the buybacks in the Q4 given some of the uncertainty around the election and geopolitical concerns. But we're committed to it. In fact, the Board of Directors approved a share repurchase plan of $500 million that was effective January 20 -- January 1 of this year. So that's how we look at the capital allocation, Justin.
Justin Ages: All right. That's helpful. Thanks. And then moving to Specialty, you talked about the year-over-year sales growth in the quarter. Just wondering if you could give a little more detail on in Specialty Vehicle repair versus discretionary and the consumer kind of sentiment that you talked about there?
Kevin Olsen: Yes, it's a great question. It's Kevin. I'd say overall, the market in Specialty Vehicle was down for 2024. There were certainly some signs of new vehicle sales stabilizing and inventory in the channel stabilizing. But ultimately, inflation and high interest rates are going to continue -- have kept a new machine acquisition prices fairly high, which impacts us. I talked publicly about that in the past. Hence, our focus on non-discretionary repair parts, something that they were special -- Super ATV was under indexed at the time of acquisition and channel expansion. We've made a lot of progress on both those fronts, which enabled us to outperform the market in the quarter and for the year in 2024. And we believe we took some decent market share. It's unclear about when the market is going to recover fully, particularly with the trade uncertainty now on top of that. And we are expecting, again, modest growth in 2025 for the segment.
Justin Ages: All right. Thanks. I appreciate you taking the questions.
David Hession: Got it. Thanks.
Operator: Thank you. Our last question comes from the line of Bret Jordan from Jefferies. Sir, please go ahead.
Bret Jordan: Hey, good morning, guys.
Alex Whitelam: Good morning, Bret.
David Hession: Good morning, Bret.
Bret Jordan: Good morning. Could you talk about the margin profile of complex electronics within light vehicle? Is that a meaningfully higher margin or in-line with the category?
Kevin Olsen: Hey, Bret, it's Kevin. Good question. We don't typically break out the margin profile of segments within our business segments, so product categories. I will tell you that the overall segment has performed very well when you talk about complex electronics. It certainly outgrew the overall business in 2024. And we continue to predict that will happen going forward. The margin profile is strong. I mean, typically, as I said in the past, those products have a high balance of new to the aftermarket. So when that product gets launched, the only competitor that we have in this space would be the OE. So in those cases, typically that's where we have the highest margin profile. And we have the highest competitive moat, right? So with the technical difficulty of a lot of these parts, we typically have a lot more new to the aftermarket and we're exclusive for a lot longer in complex electronics.
Bret Jordan: Okay. And then I guess on the big picture question on the light vehicle side, what do you see as the underlying inflation rate and pricing this year? Obviously, ex-care off, but rates have stayed high, so factoring costs are up, what would you think you will see the POS for inflation?
Kevin Olsen: Yes, that's a good question, Bret. And obviously, the elephant in the room is the tariffs, right? So I can't really predict what's going to happen there given it's so fluid at the moment. Let's assume there were no tariffs. I would say you're probably in that very low single one-ish type percent. Because there has been some general inflation outside of tariffs as we move through 2024.
Bret Jordan: All right, great. Appreciate it. Thank you.
Kevin Olsen: Got it.
Operator: Thank you. That concludes our conference call. Thank you for joining today, and you may now disconnect.